Operator: Good afternoon and welcome to the KNOT Offshore Partners’ Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to John Costain. Please go ahead.
John Costain: Thank you. If any of you have not read the earnings release or the slide presentation, they are both available on the Investors section of our website. On today’s call, our review will include non-U.S. GAAP measures such as distributable cash flow and adjusted earnings before interest, taxation, depreciation and amortization, the EBITDA. The earnings release includes a reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures. A quick reminder that any forward-looking financial statements made during today’s call are subject to risks and uncertainties and these are discussed at length in our annual and quarterly SEC filings. As you know, actual events and results can differ materially from those forward-looking statements. The partnership does not undertake a duty to update any forward-looking statements. Introduction, KNOT Offshore Partners, KNOP, focuses on the shuttle tanker segments. The individual tanker spill specific and an integral component in the offshore oil production value chain. Shuttle tankers operate in a niche space and under non-volume-based contracts transport oil from the offshore production units to shoreside. Being built the charterer’s requirements, the tankers are generally used on specific oil fields enabling the partnership to yield both the sustainable and stable revenue longer term. Oil production continues to move further offshore, so shuttle tankers operate in a space, which we'll see substantial growth in the coming years. Our sponsor is a very experienced operator, having been involved in the design and construction of this type of vessel growing its fleet organically for more than 30 years. And it's part of one of the largest shipping drips in the world Knutsen or NYK. NYK, is the member of the Mitsubishi Keiretsu. In the last five years from the third quarter of 2013, the fleet's grown 300% from 416 vessels. It has an average age of about 5.25 years. Now, turning to the presentation. Financial highlights. For the third quarter of 2018, the partnership generated its best set of results -- we'll close as best results. The total revenues were $70.7 million, operating income was $31.7 million and net income was $20.9 million. Adjusted EBITDA was $54.1 million. The partnership generated distributable cash flow of $26.3 million, and after declaring a cash distribution of $0.52 per unit. This gives the coverage of 1.46x for the quarter. During the quarter, the fleet operated 99.9% utilization for scheduled operations and 97.4% utilization, taking into account the scheduled drydocking of Hilda and Torill Knutsen, which were up for 24 and 14 days, respectively in the Q3 of 2018. Since our initial public offering in 2013, we declared and paid common unit distributions of $10.82. Our current distribution is stable a little over 10%. On the 20th September 2018, the partnership refinanced credit facilities secured by the Windsor Knutsen, Bodil Knutsen, Fortaleza Knutsen, Recife Knutsen, the Carmen Knutsen and the Ingrid Knutsen with the loan facilities totaling $375 million. Slide 4, recent events. On 13th of July 2018, a subsidiary of Royal Dutch Shell exercised the option to extend the time charter on the Windsor Knutsen by one additional year until October 2019. On the 3rd of August 2018, the partnership entered into an amended time charter with Eni, extending the duration of the Hilda Knutsen time charter for four years until 2022. On the 5th of September, Eni exercised its option to extend the Torill Knutsen by one additional year until November 2019. And on the 9th of November, Equinor ASA exercised its option to extend the time charter Bodil Knutsen by one additional year until May 2020. Slide 5, the income statement. The total revenues were $70.7 million for the three months ended 30 September Q3 and compared to $69.8 million for the three months ended Q2 30th of June. The increase in revenues was mainly due to the full earnings of the Brasil Knutsen as the vessel had finished its scheduled first special survey docking during the second quarter, and there was one additional day in the third quarter. The increase was partly offset by reduced revenues from the Hilda and Torill Knutsen due to the offhire periods for each vessel as a result of their scheduled first special survey drydockings, both of which commenced in the third quarter. Vessel operating expenses for the third quarter were $15.3 million, an increase of $1.3 million, from the second quarter. The increase was mainly due to the scheduled drydocking of Hilda and Torill Knutsen and one additional calendar day in the third quarter. In addition, the insurance received in connection with the propeller repairs of Carmen Knutsen in the second quarter had reduced the previous quarter costs. All this was partly offset by reduced bunkers consumption in connection with drydocking of the Brasil Knutsen that was charged in the second quarter and lower operating costs on average due to the strengthening U.S. dollar against the Norwegian Kroner. General administrative expenses were $1.3 million for the third quarter compared to $1.4 million in the second quarter. Depreciation was $22.4 million in the third quarter, an increase of $0.1 million from $22 million in the second quarter. The increase was mainly due to the increased depreciation of Brasil Knutsen, the Hilda Knutsen and Torill Knutsen due to drydock additions. As a result, operating income for the third quarter was $31.7 million compared to $32.1 million in the second quarter of 2018. Interest expense for Q3 was $10.6 million compared to $9.2 million in Q2. This is mainly due to additional debt incurred in connection with the acquisitions. Realized and unrealized gain on derivative instruments was $3 million in the third quarter compared to $2 million in the second quarter. The unrealized gains in the third quarter $2.4 million is related to mark-to-market gains on interest rate swaps and the small loss in foreign currency contracts. The unrealized gains in 2018 all the way through due to an increase in the U.S. swap rates. Net income in the third quarter of 2018 was $20.9 million compared to $21.7 million for the second quarter. Slide 6, adjusted EBITDA. In Q3, the partnership generated EBITDA of $54.1 million compared to $54.4 million for Q2. Adjusted EBITDA refers to earnings before interest, taxation, depreciation, amortization and other financial items being a proxy for cash flow. Adjusted EBITDA is a non-U.S. GAAP measure used by our investors to measure the partnership performance. And with a wasting asset like a vessel, these investors contributed slower EBITDA or EBITDA of the investments. The annuity effect reduces the annual loss in the early year, which is factored into the replacement CapEx calculation for the distributable cash flow. Distributable cash flow, another non-U.S. GAAP measure. Distributable cash flow represents the net income adjusted for depreciation, unrealized gains and losses from derivatives and exchange, distributions from the convertible preferred units and other noncash items. We had an estimated maintenance and capital CapEx for drydocking and replacement capital expenditures, which are required to maintain long-term, the operating capacity of, and therefore, the revenue generated by the partnership capital assets. Distributable Cash Flow or DCF was $26.3 million in Q3 comparison to $27 million in Q2. We maintained our distribution level for Q3 at $0.52 per unit to an annual distribution of $2.08. The distribution coverage ratio is a healthy 1.46 for Q3. Impacting the calculation this quarter was the drydockings between July and September of Hilda and Torill Knutsen first by the special survey drydockings. These vessels are operating in the North Sea. The Hilda went offhire on July 25, 2018 from the mobilization trip to the shipyard in Denmark in order to complete her planned 5-year special survey and went back on charter on the 18th of August. Charter went offhire on September 17, going back from charter on the 5th of October again drydocks in Denmark. The average coverage ratio for the full year 2017 was 1.26 as a comparison. Then in Q3, the partnership had interest rates swap agreements totaling $645 million of which the partnership received interest based on LIBOR and paid an average rate of 1.73%. These have an average maturity of about 4.5 years. The partnership's financial results are impacted by the changes in market swaps. The cash flow is stabilized mitigating the interest rate wise impact on the distributable cash flow. We also see rising interest rates in the U.S. in 2018 together with increasing replacement CapEx provisions charged on our vessels as they get older. However, our coverage has increased from those years and our full year estimates of 2018 and 2019 looks solid. KNOT has an elevated yield compared to most MLPs and we focused on building coverage and de-leveraging as today it’s not making accretive investments. Given the quality and the market position of the sponsor together with the shuttle tanker outlook, the yield has elevated under very attractive value proposition. There is therefore little benefit to the MLP in the short-term to increase the distribution yield is around 10%. Slide 8, the balance sheet. At the end of Q3, the partnership had $78.7 million in available liquidity consisting of cash and cash equivalents of $56 million and $22.7 million of capacity under its revolving credit facilities. The revolving credit facilities mature in August 2019 and September 2023. We have predictable cash flow under healthy liquidity position. The partnership’s total interest bearing debt outstanding as of September 30th was $1.16 million, $1.1058 million net of debt issuance costs. The average margin on the partnership's outstanding debt during the quarter ended September 30th was approximately 2.1% to the LIBOR. Slide 9, long-term contracts by leading energy companies. The Windsor has been on charter to the subsidiary of Royal Dutch Shell since October 2015. And after 2-year period, Shell has left with the first two of six annual extension options. The next question is being declared in July '19. Bodil Knutsen is our largest shuttle tanker and is currently operating in the North Sea ice class and on charter to Statoil until May 2020. Following the end of dock period there are four further extension options. Torill and Hilda Knutsen operate on the go we have to, the first field to be developed in the Barents Sea, currently representing the world's most northern offshore development. It is estimate that this field contains new -- the Barents Sea contains nearly half of the disclosed as Norwegian shale. After initial 5-year terms of both vessels, the Hilda Knutsen time charter is extended for four more areas with three options. And in October the first of the five annual extension options was exercised on Torill Knutsen. Today, many charters like this annual option type of agreement both for the commercial flexibility and because we imposition the more owner financial disclosure requirements. There is a most lower impact in the accounts of the charter. For the MLP, this mix of short and long-term charters in that portfolio is useful because as well as heavy solutions that charters wishes, we believe, vessels could firm prices, could firm -- and the market will tighten. And given the size of our fleet and therefore commercial footprint in some major contract flexibility is desirable. Four of our vessels are on long-term bareboat charter through to 2023 with Petrobras Transporte. These vessels are amongst the youngest in the Petrobras states sooner than between 2011 and 2012, heavily utilized. Delivered in 2013, the Carmen is on charter directly to Exxo sign effective until 2023. The Ingrid Knutsen was delivered in December 2013 and is operating in the North Sea of time chart of the Standard Marine Tonsberg, a Norwegian subsidiary of ExxonMobil. This will expire in the first quarter of 2024. The charter has options to expand up to five one-year periods. The Raquel Knutsen was delivered in March 2015 and operates under a charter, will expire in the third quarter of 2025. There are options to expand until 2030. Tordis, Vigdis and Lena Knutsen are on five-year charters to Brazil Shipping I, a subsidiary shell, this would expire in 2022. The charter has options to extend with an additional two five-year options. The Brasil and Anna Knutsen are on charter to gas energy here until 2022, a little bit options to extend till 2028. There is an update on average remaining contract -- fixed contract duration is 3.6 years with an average 4.4 years on that of charters options. Whilst we currently have no further drop-down coming, we have new contracts builds develop before we can drop some more down. There will be no certain -- no medium term equity investments. Given the market outlook, we expect to grow quite significantly over the coming years. In summary, KNOT Offshore Partnership be considered as a mobile pipeline business with fully contracted revenue streams. Since being awarded the first contract in 1994, Knutsen has grown organically for about 30 years as the business has been aimed to build a sizeable fleet of these tankers, currently around $29 million. In this quarter, we reported a very good performance again, both in absolute and per unit terms for the revenue, profit, EBITDA and distributable cash flow, yet another quarter with strong financial performance and substantial increase over the last year in all financial measures. Not surprising, when you set this against the acquisition program, the four vessels that were added to the fleet in 2017, and the Anna, which was added on the 1st of March, 2018. KNOT has very good access to financing. In September, we closed about $375 million multi-vessel financing on very attractive terms. With this refinancing there is no need for any structural refinancing for several years. KNOT is well-placed to complete in the future tenders, we currently see investors are in order. We have a solid and profitable contract base generated by our modern pace, which by the end of December was on average age of around 5.25 years. Since the formation of the KNOT, we have a very high level of vessel utilization on average of around 99.6%. No one has more expertise in upgrading these sophisticated shuttle tankers than Knot Offshore Partners. We upgrade these vessels in real expertise and supply is tightening. The market is expanding and tenders are back in the market. Response is already building further drop-down inventories. We remain a very attractive value proposition with the core distribution of $0.52 equating to around 10% as an annual distribution. Thank you. And that concludes assets for the slides. If anyone has any questions, I'll happy to take them.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Hillary Cacanando with Wells Fargo. Please go ahead.
Hillary Cacanando: So the four extensions, were they done at the same -- at the existing rate or were they done at a lower rate?
John Costain: The Bodil was on a lower rate. The other three are very close to …
Hillary Cacanando: Which one? Sorry.
John Costain: The Bodil Knutsen.
Hillary Cacanando: Okay.
John Costain: The original extension agreements on the vessel when they exercise the three options in a row then we agree to this and other option periods for them because the vessel will probably end of in Brazil. It's not probably going to trade in the North Sea with the big Suezmax size. They seem to like that size more for Brazil than in the North Sea, including Suezmax class shuttle in the North Sea. So we agree to lower the rate on that. The other three are pretty close to where they were previously. The total -- sorry, the Torill and the Windsor are very slightly up and the Hilda is very slightly down. But overall, there's very little difference. You wouldn't notice it in the cash flow.
Hillary Cacanando: Okay, got it. And when do you have to start, I guess, when do you start talking to them again for -- because their one-year extension? So …
John Costain: Yes. so it's basically the revolver happened around the third quarter this year. So it will be similar timing next year. I mean, the Bodil is extended till 2020 -- May 2020. I think it's like six months say end of talking about that November '19 way through the October '19 that Torill will be in October '19, I think, as well. So it will be all around the same time.
Hillary Cacanando: Got it. And then, could you just talk a little bit about any tenders that your sponsor is participating in that could …
John Costain: Yes, obviously we got -- we put a press release out in the -- about these two Statoil ships in Brazil, which we -- which the sponsor has successfully won that tender. He is also looking over contracts, and we have -- with Costco, we have two options -- for building cheap. We have a got attractive -- they've got attractive numbers. So we hope that we can use them. I mean we know that Petrobras are in the market for more shuttles and there are other operators like Shell, Total, who are also in the market. So it's starting to come back. The market is some slow. And, I mean, obviously, as I said before, we don't know who is going to win these contracts, but today, we definitely got -- we've got to and I believe the sponsors also thinking about -- has gotten all of the work we know that. I know that tanking as well. So three, I think, that building. The two that shuttle that will come through again in 2020. And so still a bit of a gap to the MLP as far as new tenders is concerned, but it is happening, not quickly as we had expected, but actually a slower growth market that is necessarily about things that makes a more stable proposition. And we'll also more deleveraging possibilities in two years time until today then the day-to-day cash flow neutral and we can kind of trading MLP with that and looking for refinancing for these two from the next couple of years.
Operator: The next question comes from Robert Silvera of RE Silvera and Associates Marine Surveyors. Please go ahead.
Robert Silvera: I'm glad you choose this nice noon time to read because it's good for West Coast, East Coast and not too bad for you hopefully. That's what I'm saying. The question I have is, particularly, and she touched on it a little bit. In your time charters, they're carrying all these charters. Your charter amount at a fixed rate and operator is carrying all the operating costs? Or do we carry operating costs?
John Costain: No. We -- the bareboat charters, which is four of the ships, we carry the -- they carry the whole operating costs. It's just like a finance lease. So the time charters, we yield to pay the operating costs, but the fuel is like hiring a car. The fuel, basically they pay for on a time charter. We just pay for the crude, the cost of crude.
Robert Silvera: Okay. Could you give us a little bit insight on your longer term strategy for increasing the dividend? You've been in a steady dividend all the way back since October of 2015. You know October 29 …
John Costain: I think, after the MLP has got to expend and we got to see how accretive the contracts are to make a decision on that, and we're not when we're competing. We will -- we need to add ships to the MLP just to keep it stable because the ships are wasting assets and we need to retool it.
Robert Silvera: Exactly.
John Costain: as you deleverage in our vessels. I -- we have to look at the nuts really to see what we can do with the distribution, but I'm not optimistic in the short-term bank leases. I mean you have to wait and looking at the window of that three to five years really. But I think -- I think -- I just want to -- I personally thinking that we keep the distributions stable, the unit prices table, everyone happy, and wherever you can do that. So that -- we should -- we want to manage it in a stable way and until we got more visibility on the contracts it will be, how accretive that it will be and more value. What costs that sponsors put in MLP and not what the terms are that may currently make a decision on the distribution?
Robert Silvera: Okay. Well the only thing that troubles me is the distribution stays the same, which is fine.
John Costain: Yes.
Robert Silvera: If you can find a methodology so to speak for increasing the price of the stock, otherwise if the stock price stays in the narrow range it does 20 to 22, and the dividend stays exactly the same at 52. Yet the long term debt is climbing, that doesn't give one a good peaceful feeling. So I'm really curious about your long-term strategy for?
John Costain: Well look that's not climbing. That's not climbing. I think this -- it will come down over the next year or two quite comfortably because they don’t forget [Multiple Speaker].
Robert Silvera: The chart shows that it's climbing. You know the long-term ….
John Costain: With our four ships?
Robert Silvera: I mean overall the company is carrying more longtime debt and the runs who are really benefiting from us is the structure are the bankers. They're getting more interest. But I don't know the shareholders aren’t getting.
John Costain: I think in the long-term the company will be leveraging in the next year or two and then used that deleveraging to actually leverage back up again and put more ships into the MLP without raising equity. And then it gets more interesting what -- we have to see how accretive these contracts are.
Robert Silvera: Yes, that's the key we need to somehow get these contracts to be paying us a little bit more as we move into the future. And what you said, if you could comment with some of these contracts were actually being extended at a lower price than a higher price? And do you see the market being able to sustain where you can get a higher price when the contracts are extended? Or is the language of the contracts such that there's no possibility for getting a rise in our yield on the contract expansion?
John Costain: Of the four that have been extended, two of them have gone up and two of them have gown down. And generally auction periods are slightly higher. But, yes, it's …
Robert Silvera: Okay. The language then -- the language in the contracts is such that we can get a higher price. That makes me feel a lot better.
John Costain: Yes. It is. Yes, there is …
Robert Silvera: Okay. Now, the cost of money is changing all the time and we don't have fixed interest. Was it correct?
John Costain: Yes, I believe, we've hedge that on average 60% of the debt, 50% to 60% of the debt. Asset rates about 1.7% -- 1.7%, 1.8%. So we’re a little bit buffered from the interest rate rises. Well what you see with the interest rate rises, it does actually help older vessels because it makes them more cost effective because it's less capital tied up in them. So they're relatively speaking a bit cheaper than a brand new ship because of the nature of the immunity, so it's not all bad.
Robert Silvera: With our type of ships, what is the life span for our type of ship as opposed to like a VLCC 20 years?
John Costain: That's a bit longer. This is bit longer. This does get 20 years our, some of them are in 25. But I mean, they’re not -- I would say, some are between 20 and 22, 23, is covering about right and then they go into – the VLCC is going about 15, 20, depending on the market. So there’s a bit longer there -- a bit more, there’s the highest flagships.
Robert Silvera: Right. It is -- the sulfur content in fuel going to affect us in any way or just the operating expense?
John Costain: Yes. The operating expense are obviously, in the longer run, the vessels that are more economical and -- than the low sulfur fuel -- more economic burning fuel will benefit. I mean, I think genuinely for us, because charters are in bit over of 2020. It’s not really going to impact as very heavily after time and have the risk period is really straight up to IMO 2020 comes in with the six to 12 months and the enterprise will be very volatile. We will be affected because the Raquel Knutsen is drydocking in 2020, and that also yet to balance the ship. So obviously, that will have an impact on the results. We can't say how much that will be, but it will be. It will impact us but not massively. Generally, it doesn't really impact us very heavily. We're quite fortunate that way.
Robert Silvera: Okay. In this floating pipeline business that we run, where do we stand percentage-wise of the total market?
John Costain: So the sponsor is -- this vessel…
Robert Silvera: … with our 16 ships.
John Costain: Is about 20% of the market.
Robert Silvera: So we have -- we control about 20%. Okay, good. That's substantial.
John Costain: Yes.
Operator: [Operator Instructions] The next question comes from Richard Diamond with Castlewood Partners. Please go ahead.
Richard Diamond: John, after that last round of questioning, I want to thank you for your prudence as an investor. You’ve been conservative on so many fronts from maintaining a high distribution coverage, to being very disciplined in paying down debt. We’ve all benefited from your steady hand. Just for good order sake, would you mind reviewing how lower oil prices such as Brent $59.99 versus Brent at $75 impact demand for shuttle tankers?
John Costain: It’s a good question. It has more noise effect on the unit price than it does on the shuttle tanker deman. I mean -- Brazil has continued to expand and so is the Barents Sea. I think the Barents Sea, it has more of an impact on the Barents Sea that overall oil price. I think in Brazil, I think Brazil was just continued to ramp the production because oils relatively cheap to exploit the oil less, Brazil needs the revenues. So I see that the Brazil program will go ahead and that we continue to expand. The nice thing about lower oil prices for the shuttle tanker businesses it tends to slow the growth down a bit and it’s mean that the business has been much slowed, and next time it's gone out of the market a bit. It’s meant for that it's become a better market in many ways because it’s a gradual build rather than a bubble. And that’s obviously better for the shuttle tanker business. I think, I said being the steady market, I think, we have seen a bit of a lift in Brazil now, but I don’t see it being a threefold, like 25 or say tankers all at once. I think it's going to be a trickle, maybe 5 to 10 tankers this year. So I think the lower price have a -- it tends to weigh on the unit price a bit because people with oil sentiment is affected and oil stocks are affected by the lower oil price. That’s why the MLP pipelines -- when the market went away in MLPs because the oil price drop keep a word about the end of life of the pipelines and that will be... there may be a collapse. This is the just a more sentiment impact on the day-to-day basis. It doesn't affect the operation of the vessels. It may have the margin reduce the growth story a little bit.
Richard Diamond: One would hope that with interest rates stabilizing or fall in line with the collapse in the U.S. of housing, automobiles sales and, now energy prices, the contracted yield would be even more attractive to investors. Thank you very much, John.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Costain for any closing remarks.
John Costain: Thank you, everybody, for your -- especially the people who had a question there. It's been interesting as usual to have a little bit of a dialogue. I hope you had a look at the company and you continue to support us. And thank you. Okay, bye.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.